Operator: Welcome to the Liberty Broadband 2023 Year-end Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded today, February 16, 2024.
 I would now like to turn the call over to Shane Kleinstein, Senior Vice President of Investor Relations. Please go ahead. 
Shane Kleinstein: Thank you. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in the most recent Forms 10-K filed by Liberty Broadband and Liberty TripAdvisor with the SEC. These forward-looking statements speak only as of the date of this call, and Liberty Broadband and Liberty TripAdvisor expressly disclaim any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Broadband or Liberty TripAdvisor's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based.
 On today's call, we will discuss certain non-GAAP financial measures for Liberty Broadband, including adjusted OIBDA. Information regarding the comparable GAAP metrics, along with the required definitions and reconciliations, including preliminary note and Schedules 1 and 2, can be found in the earnings press release issued today as well as earnings releases for prior periods, which are available on Liberty Broadband's website.
 Now I'd like to turn the call over to Greg Maffei, Liberty's President and CEO. 
Gregory Maffei: Thank you, Shane, and good morning. Today speaking on the call, we will have also Liberty Broadband's Chief Accounting Officer and Principal Financial Officer, Brian Wendling; Ron Duncan, CEO of GCI; and Pete Pounds of GCI will also be available to answer questions. During Q&A, we will also be available to answer questions related to Liberty TripAdvisor.
 So I'm going to begin with Liberty Broadband. We resumed repurchases of our Liberty Broadband shares using proceeds from the Charter share repurchases sales in October. From the 1st of November to the end of January, we repurchased $385 million of proceeds -- received $385 million of proceeds from Charter sales and spent $255 million on LBRD repurchases.
 Similar to last year, under our 25 -- 26% fully diluted ownership cap, the early 2024 grants that Charter made slowed down their repurchases or our requirements to be repurchased. And therefore, we do not expect to sell into the Charter back -- buyback in the next few months. Once we exceed the cap of 26%, we plan to resume the LBRD buyback.
 Looking at Charter itself, we certainly acknowledge there were near-term headwinds in the quarter, which impacted broadband unit growth. The fourth quarter was also -- felt a delayed impact from the Disney dispute at the end of the third quarter. There's been a consistent trend in 2023 of increased competition from fixed wireless, but we do believe the competitive noise will lessen over time.
 Fixed wireless assets will have capacity issues over the long term, and the operators have been clear on their limitations. And we do believe that bandwidth demands will continue to increase among consumers, which will favor higher speeds.
 We are long-term shareholders. We are confident the strategic investments that Charter is making will generate excellent returns and accelerate growth over the next few periods. Charter assets will provide the highest speed and the converged of -- of a converged offering at the most competitive prices for consumers.
 Spectrum One is continuing to drive mobile growth and reducing churn. Charter was able to add 2.5 million mobile line net adds during 2023. That's a nearly 50% growth over the prior year. And we saw no uptick in churn from the initial cohorts who are rolling off the promotional periods in the fourth quarter.
 As you would expect, the Internet-plus-mobile customers are stickier than Internet-only customers. Another positive news, the rural expansion is beating penetration, ARPU and ROI targets. The network evolution at Charter remains on course with fast, low-cost upgrades at about $100 per passing. We don't believe competitors can replicate that upgrade path over their footprint. As management has outlined, the long-term CapEx outlook excluding BEAD is expected to materially step down from 2027 to normalized levels.
 Let me touch on Liberty Trip. We filed an amendment to our 13D. We were authorized by the Board to engage in acquisition discussions, and we will not comment further on those discussions unless definitive documents are executed or the discussions are terminated.
 Looking at TripAdvisor itself. TripAdvisor had a strong 2023 operating results, particularly in the back half. Q4 revenue was up 10% over the prior year. Q4 EBITDA and margin expansion exceeded expectations. There was outperformance at the recently renamed brand, TripAdvisor. The Viator break-even profitability was reached earlier than anticipated. And there were marketing efficiencies at brand TripAdvisor and Viator that allowed us to have better-than-expected performance. And we continue to move on cost-saving actions, which are improving margins.
 We've seen great successful diversification of the revenue at TripAdvisor with the Viator and TheFork nearly being 50% of 2023 revenue. In comparison, they were less than 10% in 2015. And its experiences are now half -- almost half the level of brand TripAdvisor.
 We've also seen increased repeat rates among customers. For example, at Viator, the Q4 gross booking value from repeat customers exceeded new travelers for the first time. Management is focused on long-term strategic opportunities and GenAI-driven product enhancements like TRIP tools to drive engagement and growth, and we think we are optimistic about those results.
 And with that, I'll turn it over to Brian to discuss the financials. 
Brian Wendling: Thank you, Greg. At quarter end, Liberty Broadband had consolidated cash and cash equivalents of $158 million, which includes $79 million of cash at GCI. The value of our Charter investment based on our shares held as of February 1 and Charter share price as of yesterday's close was $13.5 billion.
 At quarter end, Liberty Broadband had a total principal amount of debt of $3.8 billion. Note that this excludes the preferred stock.
 We are updating our annual tax rate guidance on our Charter sales for 2024 to low double digits. This conservatively assumes the DRD, the dividend received deduction, does not apply to charter sales for the book minimum tax under the Inflation Reduction Act. We are accruing for this higher tax rate in 2024, while additional guidance from the IRS and treasury is pending.
 I note that any book minimum tax paid for 2024 will carry forward to offset regular income tax in future years to the extent regular income tax exceeds the book minimum tax, making this more of a timing impact. Consistent with prior years, we're not providing specific tax guidance beyond the current year.
 Looking at GCI, 2023 was a good year for the company with record revenue and adjusted OIBDA. GCI generated solid free cash flow and distributed $65 million of dividends to Liberty Broadband during the year. For the full year, revenue and adjusted OIBDA grew 1% to $931 million and $361 million, respectively, driven by the strong performance in business data revenue, offset by declines in other revenue, primarily video and voice. In the fourth quarter, revenue was flat and adjusted OIBDA decreased 1%. While we continue to see strong business data growth, this was offset by declines in other revenue and increased costs primarily in SG&A.
 Operationally, GCI added 1,400 consumer cable modem subscribers and 4,800 consumer wireless customers in 2023. GCI's leverage as defined in its credit agreement was 2.9x at year-end, and GCI has $397 million of undrawn capacity under its revolver. We'd note that subsequent to year-end, GCI paid down an incremental $40 million under its revolving credit facility.
 In 2023, GCI spent $216 million on capital expenditures net of proceeds received from federal and state grant funding. This is above prior expectations largely due to the timing of receiving certain grant proceeds. GCI's net capital expenditures for 2024 are expected to be approximately 200 million related to additional high-returning investments in middle- and last-mile connectivity with continued network expansion in our most important markets in rural Alaska, including Bethel and the AU-Aleutians fiber projects. Taking a proactive approach in rural connectivity projects is critical to securing necessary government funding.
 And with that, I'll turn call back over to Greg. 
Gregory Maffei: Thank you, Brian. And to our listening audience, we appreciate your continued interest in Liberty Broadband and Liberty TripAdvisor.
 And with that, operator, I'd like to open the line for questions. 
Operator: [Operator Instructions] Our first questions come from the line of Michael Rollins with Citi. 
Michael Rollins: Two questions. First, what are your expectations as to whether or not the ACP program will be discontinued? And can you share your thoughts on the possible implications for each of GCI and Charter?
 And then secondly, just given the comments on being a long-term investor in Charter, does the current price for Charter change Liberty's interest to sell shares into Charter's buyback when needed to stay under the 26% cap? 
Gregory Maffei: Thank you for the question. I'll address ACP and the impact to Charter, my expectations. And then, Ron, maybe you'd like to talk about ACP and potential impact to GCI. And then I'll come back and talk about buyback.
 So whether ACP will be renewed or not is certainly a guess into the wooly world of Washington. There is an enormous amount of support for it among many congressmen and senators, to our knowledge, and many of them are in red states, which actually received a majority of the ACP proceeds. So there is some reason for optimism, but trying to assume that there is a path forward that is clearing crisp in Washington is something that's beyond my capabilities.
 The impact, a little unknown. Many of the ACP customers at Charter were customers prior to the ACP program. We think the demand for bandwidth, the requirements that customers have for bandwidth have only -- have grown. One of the complaints among some people in Washington is that this is a subsidy program, which isn't necessary because customers want the bandwidth. And that is a reason why some may not vote against it. That, of course, is not -- it's helpful for us in getting -- securing ACP funding, but it may also be correct that it indicates most customers will continue to take our broadband even in the absence of ACP. So it's hard to speculate on how much impact eliminating ACP would have or the cessation of ACP would have, but it's clearly not a positive on the margin.
 Ron, would you want to add anything? 
Ronald Duncan: Just briefly, we're expecting minimal impact from an ACP discontinuance at GCI. Most of the customers on ACP were broadband customers to begin with. And we have budgeted a slight increase in bad debt and anticipate probably a little bit of an uptick in churn. I think ACP for us was doing more to reduce the churn ratio among customers who may struggle from build to bill.
 But at the end of the day, I doubt that the effect of the ACP shift will be perceptible on the broadband side. I do believe there's an upside opportunity on wireless because nationwide, half of ACP goes to wireless providers. And with our GCI-plus offering in the market being hugely less expensive than the less -- than the least expensive AT&T and Verizon wireless offerings, the disappearance of ACP for wireless should create a competitive opportunity for us to grow wireless subs at the expense of AT&T and Verizon as they phase their customers off of ACP. So we see more positive coming out of it from the wireless side and expect very little impact on the wired side. 
Gregory Maffei: I'd just add on that, that all those statements about wireless and the impact are likely to have the same impact or affected Charter with how we're pushing our Spectrum One program.
 On the buyback issue, I think it's the case, we believe, Charter's long-term interest in -- and the question about whether to raise -- seek to raise the cap or continue and therefore not sell in shares to Charter or continue to buy back at our own on the LBRD, I think, look, you see us spending the majority of proceeds from Charter on LBRD repurchases. We've also seen some amount of debt reduction at LBRD use of the capital for that.
 And the reality is because we're buying at a substantial discount to the LBRD price -- via the LBRD price to the underlying Charter, we still have the same set of incentives to use our capital for share repurchase and LBRD rather than raise the cap today because the discount is so much larger than the tax leakage. So I'm not sure it actually changes our program. 
Operator: Our next questions come from the line of Barton Crockett with Rosenblatt Securities. 
Barton Crockett: I guess 2 things. One, just kind of a big picture for Greg and then another kind of nuts and bolts on numbers. The bigger-picture question, Greg, is I was curious about your thought on some of the new skinny bundles or streaming bundles that are emerging from the media companies in terms of the legality or the appropriateness in an antitrust perspective. So specifically, the skinny sports bundle from Disney, Warner Bro.s, Fox, do you believe that Charter would have rights to offer the same kind of bundle or not? And do you think there's any kind of antitrust questions there?
 Similarly, I guess there are some reports that Comcast and Paramount have been discussing perhaps combining streaming efforts. And their streaming services include a lot of content from the broadcast networks, NBC, CBS. There's a prohibition at the FCC on dual network ownership and some antitrust, I think, questions about the video market there. So how do you feel about antitrust? And do you think that ends up being an issue that affects this? So that's kind of the big-picture question. And then I'll come back later with just a small numbers question. 
Gregory Maffei: Okay, Barton. I'm only good on the big picture. So thank you for starting with that. The skinny bundles, I'm not sure how skinny that bundle is. But -- and I'm also uncertain about the antitrust implications. I've heard knowledgeable observers on both sides opine. And I really -- and I've not dug into it enough to have a firm view of my own.
 The question about Charter, I think there is potentially an opportunity for -- as bundles are created that we are a distributor of that and as long-term positive than -- that we're making margin without risk. And we are continuing to drive demand for broadband as those packages shift. So I think in the -- while it's -- we certainly have not seen all of it at Charter and made a full evaluation of where it will go. On the margin, it feels positive to me both as an economic opportunity and as something which drives broadband. 
Barton Crockett: Okay. Great. And then just a numbers question. I wanted to make sure I'm clear. When you say $200 million on CapEx this year, is that comparable to the $216 million? Or is that just on the expansion and the actual comparable number would be something different? There's that. And then your commentary on the tax rate for sales of Charter shares. Just -- I mean, can you give us just like a number? I'm not sure I quite followed what I should assume for a tax rate there. 
Brian Wendling: Yes. On the tax... 
Gregory Maffei: Brian or Ron -- yes, go ahead, Brian. Thank you. 
Brian Wendling: That's right. We're just giving you low double digits at this point, Barton. And then on the CapEx, yes, it's a comparable number, the $200 million to the $216 million. 
Operator: Our next questions come from the line of Ben Swinburne with Morgan Stanley. 
Benjamin Swinburne: I think these are big picture, so I think for you. 
Gregory Maffei: Don't scare me with those details. Come on, Ben. Thank you. 
Benjamin Swinburne: I ask you the question I asked John back in November on Charter, which is why is 4.5x still the right leverage level. I think I know what your answer is, but obviously, the market has spoken, at least for now, on where they -- what they're thinking on Charter stock. So I'd be curious if there's a scenario where you think lower leverage is actually optimal.
 And then looking back on the Disney dispute, and you mentioned it in your prepared remarks that that's weighed on subs. Do you think that the objectives and the sort of what was extracted from that agreement by Charter has been worth some of the disruption in the business? And again, broadband net adds have an outsized impact on Charter stock versus their video business. So just wondering how you reflect on that. 
Gregory Maffei: Well, I'll start with the -- obviously, with the leverage part. The question is, certainly, we have some shareholders asking the question, and we're weighing the relative merits. But we have at -- the Charter management team has shown the Board, I think, multiple scenarios about what lower leverage or high leverage might mean. And for the moment, we're pretty confident that right in the course given the diversity of maturities, the length of maturities, the likely movement in interest rates that even under most scenarios, we're better off holding the 4.5x leverage.
 It's certainly a question that's open in the sense that we are responsive to our shareholders in general. I think the -- I can say for the 26% holder and I think probably -- not speaking for them, but correctly relaying their views for the 12% holder of advance in house. I think we're in agreement with management's proposal that 4.5% the right number. But we certainly look at it.
 And to the degree that there was massive pushback from shareholders you would want to pay attention, I don't think we've received that yet. I think we've received questions on the margin. And I think what's happened to the stock price is not a function. It may be exacerbated by the leverage, but it's a function of perception of broadband growth and how we're doing competitively in the marketplace rather than net leverage.
 Disney, look, I -- it's a long-term bet. It's a long-term play rather than just whether we feel that impacting a quarter or rolling -- bleeding into the second quarter on how to have a stable video business where we are more aligned and partnered with people like Disney. And I think you can make the same argument as we get to the sports bundle. But having that -- if it occurs or when it occurs, having ourselves align with them, having a role where we can be a distributor of that and having a role in these over-the-top offerings is the right strategy for the long term. And I think management still stands by that view, and I think we're on the same page. 
Operator: Our next questions come from the line of Alex Nordhagen with Balyasny. 
Alexander Nordhagen: I had 2 really around the cap stack. But on the first one, with the 20.51s, the half coupon, obviously, coupon that are put on callable from March '25, what is the kind of base case plan to deal with those, assuming that there isn't any sort of transaction? I would think you'd need to have a plan in place given the low cash balance at Liberty Trip right now. And then the second question I had was just in theory, if with respect to any acquisition discussions Certares was involved, would that need to be disclosed to the market or not? 
Gregory Maffei: Ben, are you there? Do you want to touch on the -- our plans. I think we're evaluating. We're not going to go reveal all. But Ben, what would you want to add? 
Ben Oren: Yes. I think we monitor it regularly, Alex. We think about what the different strategies are for addressing either a repayment of those securities or an extension of maturity. But we're probably not going to go into detail at this time. 
Gregory Maffei: And on -- I think I said I wouldn't comment any further, but I'll just say I think the disclosure we made about being approached is the only disclosure we'll make until we comment further and whether or not with Certares or anybody else who made the offer is really beyond what we're going to reveal today and what we're obligated, we think, under the 13D disclosure rules. 
Alexander Nordhagen: Okay. And if I may just ask a follow-up then. With the depressed stock being callable from next month, 6 weeks away, do you have any intention to call it? 
Gregory Maffei: I think I'd refer to Ben's comments earlier. We're evaluating all these things. We're looking at all our alternatives. But until and such time as we make that move, we are not going to -- if we do, we would not -- we're not going to disclose our intention. 
Alexander Nordhagen: All right. Appreciate that. 
Gregory Maffei: Sorry to be unsatisfying, but at least I know you tried. 
Operator: Our last question will come from the line of Barton Crockett with Rosenblatt Securities. 
Barton Crockett: So I took the opportunity to come back. Greg, just -- hopefully, this qualifies as big picture just for you. Just curious, the statement that fixed wireless is competitive now but won't be over the longer term. Can you -- do you have any kind of sense in your mind of how long it is before fixed wireless ceases to become competitive and becomes more kind of a source of win back for cable. I say that just thinking that there's a lot of consumers out there that are feeling pretty stretched and I think would be pretty sticky for a low-price service, but there's technical constraints. So what do you think is the timing here? 
Gregory Maffei: Barton, I think I would -- the way you initially stated the premise that fixed wireless isn't competitive, I would say that differently. I would say that there are certainly customers for home fixed wireless is the answer they believe they need. I think that customer set will be reduced over time as broadband demands grow and potentially as FWA becomes less interesting as that network has more users and performance is less attractive or less performant.
 So I'm not saying it's a binary thing. I'm thinking it's a relative thing. It's the relative attractiveness and the relative need for increased bandwidth, relative attractiveness of that network and the relative needs among consumers for more bandwidth. I think those shift in our favor over time.
 And then the question of when capacity is constrained, I mean, T-Mobile has been pretty clear about what -- how many they're willing to go out with, and you can judge how quickly it is. Verizon has been less clear. I would argue, Verizon has been less clear about a lot of their plans in this space. But if you look at what reasonable expectations on what the run rate is, you could make your own judgment about when that starts to slow down. We've already seen it slow a little, and we've already seen T-Mo on the margin begin to increase prices for FWA, which seems to suggest that they're not that limitation, but they're recognizing that there's not an unlimited amount of capacity for FWA.
 I believe that is our last question today. Thank you all for joining. Thank you all for your interest in Liberty Broadband and Liberty TripAdvisor. And with that, operator, we will end today's call. 
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.